Operator: Greetings, and welcome to Masonite’s Third Quarter 2023 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After management’s prepared remarks, investors are invited to participate in a question and answer session. Please note that this conference is being recorded. I would now like to turn the call over to Rich Leland, Vice President, Finance and Treasurer. Thank you. Please go ahead. 
Richard Leland: Thank you, and good morning, everyone. We appreciate you joining us for today’s call. With me here this morning are Howard Heckes, President and Chief Executive Officer; and Russ Tiejema, Executive Vice President and Chief Financial Officer. Also joining us today for Q&A is Chris Ball, our President of Global Residential.  We issued a press release and earnings presentation yesterday reporting our third quarter 2023 financial results. These documents are available on our website at masonite.com. Before we begin, let me remind you that this call will include forward-looking statements. Each forward-looking statement contained in this call is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears in the section titled Forward-Looking Statements in the press release we issued yesterday. More information about risks can be found under the heading Risk Factors in Masonite’s most recently filed annual report on form 10-K and our subsequent form 10-Q, which are available at sec.gov and at masonite.com. The forward-looking statements in this call speaks only as of today and we undertake no obligation to update or revise any of these statements. Our earnings release and today’s discussion include certain non-GAAP financial measures. Please refer to reconciliations which are in the press release and in the appendix of the earnings presentation. Our agenda for today’s call includes a business overview from Howard, followed by a review of the third quarter financial results from Russ and then Howard will provide some closing remarks and we’ll begin the question-and-answer session. With that, let me turn the call over to Howard.
Howard Heckes: Thanks, Rich. Good morning and welcome everyone. Starting on Slide 4. I’m very proud of Masonite team for delivering solid third quarter results in the phase of a challenging macro environment, while also making meaningful progress on strategic initiatives that lay the foundation for our future growth.  Net sales in the quarter were $702 million, down 4% year-over-year with rising mortgage rates putting continued pressure on our end-markets. Despite these headwinds, our disciplined focus on price cost management enabled us to hold margins nearly flat year-over-year and deliver $107 million of adjusted EBITDA.  We continued to generate exceptional levels of cash flow in the quarter, driven by the success of our enterprise-wide working capital optimization initiatives. Year-to-date through September, operating, cash flow was a record $310 million and notably, our free cash flow has already surpassed the low end of our full year guidance.  Also during the third quarter, we held our 2023 Virtual Investor Day where we reviewed our long-term strategy and financial goals. The theme for the day was Invisible to Invaluable, which summarizes the key objectives of our integrated Doors That Do More strategy; to drive product leadership with innovation and differentiations that make our doors invaluable to homeowners; to win the sale with new marketing and customer engagement initiatives that make the Masonite brand invaluable; to deliver reliable supply by leveraging, our scale, vertical integration and the Mvantage operating systems to make Masonite the business partner invaluable; And to achieve our 2027 financial goals of reaching $4 million in net sales for more organic growth and strategic M&A while also delivering between 19% and 20% adjusted EBITDA margins and generating over $1 billion in cumulative free cash flow, ultimately making an investment in Masonite invaluable to our shareholders.  As I said in my closing remarks at Investor Day Masonite is an industry leader in residential doors. We have identified opportunities for both timeline and margin growth and I believe we are well positioned with the right team, the right assets, and the right strategy to convert these opportunities into strong long-term financial results and shareholder returns.  In case you missed the event, you can find a complete replay, as well as downloadable copies of all presentations at investor.masonite.com.  Returning to our third quarter business highlights, we saw considerably softer demand year-over-year as both new construction and RRR continued to be impacted by ongoing mortgage rate increases. Our teams responded to this sustained market weakness with consistent execution of our 2023 playbook that includes a balanced mix of actions designed to maintain margins, while executing our strategic growth initiatives.  Throughout the third quarter, we stayed focused on servicing our customers and adjusting to order volatility, all while maintaining overall price cost favorability. We continued to flex variable cost and aggressively pursue savings opportunities to help maintain margins in the near term and effectively coil the spring to realize accelerated margin growth when end-market demand strengthens.  Simultaneously, we continue to invest in strategic initiatives to support future growth, such as the new masonite.com website, marketing support for mixed improvements and the commercialization of new products recently released in our retail channel. The acquisition of Endura earlier this year has been another bright spot for us.  Our success in achieving the projected synergies and smooth integration of this business has resulted in strong performance, highlighted by a second consecutive quarter of mid-teens margins and an adjusted EBITDA contribution of $10 million to the consolidated business. On the heels of the successful Endura transaction, we completed our second acquisition of the year by purchasing Fleetwood subsequent to quarter end on October 19th.  Let’s continue to Slide 5. I'm thrilled to share more details about our addition of the Fleetwood brand of premium glass doors to the Masonite product portfolio. As you can see in this beautiful picture from a customer location in Los Angeles, Fleetwood doors unmistakably define a home, enabling a seamless flow between indoor and outdoor living spaces, when open while give the home security, abundant natural light, and spectacular views when closed. You can find many more examples like this on the portfolio pages of their website at fleetwoodusa.com  Turning to Slide 6. In the luxury residential glass door markets, Fleetwood is a leader that is well known among architects and builders. Its product line-up includes a range of folding, sliding, pockets, hinge and pivot doors, as well as accompanying glass walls and window systems. These products are highly customizable, but all take advantage of the unique technology and manufacturing processes that’s been developed by Fleetwood to meet or exceed the strictest quality standards.  Fleetwood door panels can range in size up to 20 feet tall and 12 feet wide that are made with custom design, precision hardware components to operate effortlessly, while being able to withstand the extreme weather that often comes with some of the most exquisite views in the world. In fact, we would hold several patents and trademarks for products with energy savings and weather resistant features.  When evaluating the business, we saw several compelling attributes. First, Fleetwood’s business strategy of bringing innovative door systems to the residential markets that solve life and living problems with a special focus on customer service and building close relationships with channel partners is highly aligned with our own doors that do more strategies.  Second, the acquisition allows us to more effectively address the large patio door market and indoor outdoor living trend, but with a focus on premium aluminum framed glass segment, which we view as more differentiated than the mainstream sliding vinyl patio door segment.  And third, as we said in our recent Investor Day, we are intent on adding high value, better and best products to our comprehensive range of doors that do more. The acquisition of Fleetwood provides an immediate lift to our portfolio of best products and helps us move closer to our 2027 goals.  Moving the Slide 7, let me give you more detail about Fleetwood, which has been family owned since its founding in 1961. The business is located in Corona, California and operates a modern 200,000 square foot manufacturing facility. This is also the site for the administrative headquarters, as well as R&D laboratories, which include on-site frost, wind, water and severe weather testing capabilities.  The company has approximately 350 total employees. About 70% of Fleetwood's revenues come from door systems and 30% from matching glass walls and window systems. Through targeted advertising and relationships established over many years with some of the country's top architects, Fleetwood has built a well-known and trusted brand.  Channel partners include more than 200 specialty dealers across the United States and Canada, although the majority of its sales today about 70% are concentrated on the West Coast. They have had unusually strong results in 2023 due to a large backlog of orders that resulted from supply chain constraints in the prior year.  In 2024, we expect Fleetwood to contribute more normalized results to Masonite with an estimated $150 million in net sales and $35 million in adjusted EBITDA. We also expect the business to be accretive to EPS in 2024.  Now that the tax benefits we expect from this transaction, our purchase price would equate to approximately $255 million or seven times pro forma EBITDA, an attractive purchase price multiple for a tightly adjacent business with great growth potential and margins in excess of 20%. As a result, Fleetwood clearly met both the strategic and financial streams we've established for assessing M&A opportunities.  The current management team at Fleetwood will continue to operate the business independently reporting results to our North American residential segment. We are very excited about the future potential for this business, and I'd like to welcome all the Fleetwood employees, customers and partners to the Masonite family and thank you for your efforts to help Fleetwood continue to grow and thrive as a leader in the market.  Now I'd like to turn the call over to Russ to provide more details on our third quarter financial performance. Russ? 
Russ Tiejema : Thanks, Howard. Good morning, everyone. Let's turn to Slide 9 for an overview of our consolidated financial results. Third quarter net sales were $702 million, down 3.5% from last year, driven primarily by a 13% decline in volume. This decline was slightly greater than what we were anticipating at the time of our Q2 earnings call, when there was more optimism about macroeconomic conditions in the North American residential market and builder sentiment was trending upward.  Partially offsetting the volume impact this quarter was an 8% benefit from the Endura acquisition and a 1% increase in average unit price or AUP. Year-over-year gross profit decreased 1% to $166 million, due to the lower net sales. However, gross margin improved 60 basis points to 23.6%. Thanks to our continued focus on cost management.  Selling, general and administration expenses were $99 million, up 19% year-over-year due primarily to the addition of SG&A from Endura and an increase in M&A-related costs. Third quarter net income was $41 million, compared to $57 million in the third quarter of 2022. The decrease was driven by higher non-EBITDA costs including increased depreciation and amortization, higher interest expense and cost associated with our previously announced restructuring plans, all partially offset by lower tax expense.  Diluted earnings per share in the quarter were $1.86, compared to $2.54 last year. Adjusted earnings per share, which exclude restructuring costs, as well as acquisition and due diligence-related cost were $2.04. Adjusted EBITDA for the quarter was $107 million, down slightly from $112 million last year. Adjusted EBITDA margin of 15.3% was within 10 basis points of prior year despite lower volume.  On the right hand side of the slide is more detail on factors that influenced adjusted EBITDA in the quarter. The combined impact of volume and AUP turned negative in the quarter as the majority of carryover pricing from 2022 expired. Material cost impacts turned positive in the quarter however, as material inflation has broadly stabilized and inbound logistics cost have declined. Although, this is a welcome development it reflects a level of aggregate deflation on material and logistics costs that is still tracking slightly behind what we had originally expected to see by this point in the year.  As we noted on our second quarter earnings call, our original outlook for low to mid-single-digit deflation for the full year has been tracking towards the low end of that range. Keep in mind that one point of material cost deflation is worth roughly $10 million to adjusted EBITDA at a consolidated level.  Factory and distribution costs were negative as expected due primarily to the combined impact of volume deleveraging and inflation, partially offset by continuous improvement and cost control initiatives. On an adjusted EBITDA basis, SG&A was up just slightly due to incremental investments in strategic growth initiatives.  Outside of those expenses, we were able to offset inflation on wages, benefits, and other SG&A with restructuring actions and careful cost management.  And lastly, as Howard noted earlier, the Endura acquisition contributed $10 million of adjusted EBITDA in the quarter  Turning to $slide 10. Let's look at highlights from the North American residential segment. Third quarter, net sales were $553 million, down 5% year-over-year, driven by a 14% decline in volume and a 1% decrease in AUP, partially offset by a 10% benefit from the Endura acquisition. Soft end-market demand accounted for most of the volume impact in the quarter.  The wholesale channel was down mid-teens including the impact of decisions to prioritize margin over unit volumes and the retail channel was down low-double-digits on weaker POS due to lower RRR spend and modest inventory adjustments.  Freight cost remained positive in the quarter. However AUP was down slightly, now that we have lapped all 2022 price actions. Product mix continued to be a modest AUP tailwind in the quarter. Adjusted EBITDA in the quarter was $109 million, down 5% from last year. Adjusted EBITDA margin decreased 20 basis points year-over-year to 19.7%. Excluding Endura however, segment margins were actually up 20 basis points.  Although Endura margins are modestly dilutive to the overall segment, the business is performing very well delivering strong mid-teens EBITDA margins and running ahead of our original synergy estimates due to strong collaboration across all areas of integration. Endura has embraced the Doors That Do More strategy and these results reflect the positive impact of work done on reliable supply and customer engagement.  In terms of product leadership, the Endura engineering team has partnered with the sales force, to support the nationwide rollout of the Masonite performance door system, while continuing to focus on joint product development efforts on higher value exterior door systems. As we said in our recent Investor Day, the Doors That Do More strategy is our north star which helps differentiate us in the door industry.  And there's always nice to get affirmation from our customers. In the third quarter, we were honored to have two of our largest customers, the Home Depot and Lowe’s recognized us with No Work Partner of The Year awards for the hard work our teams have done to deliver consistent and reliable supply, for our leadership in bringing new and innovative products to the market; and for our collaboration on sales and marketing initiatives.  We have partnered with both the Home Depot and Lowe's for many years on joint business planning initiatives and it's great to see our efforts bearing fruit. So, a big shout-out, this quarter to the Masonite teams that are working to activate the Doors That Do More strategy with our customers.  Now, turning to Slide 11 and our Europe segment. Third quarter net sales were $65 million, down 2% year-over-year. 7% lower volume was offset by a 7% favorable impact from foreign exchange but AUP was lower by 2% due entirely to the mix impact of relatively weaker results in exterior versus interior doors.  Adjusted EBITDA was $4 million in the quarter with an adjusted EBITDA margin held roughly flat year-over-year at 6% despite these incremental volume and mixed headwinds.  In the UK, which accounts for over 90% of our Europe segment sales, new home completions were down year-over-year by 14%, and indications are that the RRR market is down over 20%.  Our interior door business, which primarily serves new construction, meaningfully outperformed the market, thanks to service levels, which allowed us to win a larger share of wallet with our customers. We expect this tailwind to diminish through year end as new construction slows seasonally, while remains focused on maintaining these service levels as a competitive advantage.  On the exterior door side of the business, we are seeing sales declines that are more in line with the RRR market. Homeowners in the UK are still facing exceptionally high cost of living challenges and have cut back discretionary repair and remodel projects.  Historically, we see elevated exterior doors sales in Q4 in the runoffs to holiday season, but we are not expecting that to occur this year. While the macroeconomic situation in the UK is not ideal, our Europe team is aggressively managing price cost to offset inflation while maintaining service levels and executing targeted marketing initiatives to win new business.  Moving to Slide 12, and the Architectural segment. Third quarter net sales increased 4% year-over-year to $81 million, driven by an 18% increase in AUP, partially offset by 10% lower volumes and a 4% decline in component sales. Adjusted EBITDA was $5 million in the quarter, up from breakeven in the prior year. We are pleased with the year-over-year improvement in the quarter, but our expectations are somewhat muted for Q4, as the pace of orders through the quarter has slowed in line with a softening end-market.  With respect to the strategic review that has been underway for the Architectural segment, we continue to expect that a complete or partial divestiture of the business is the most likely outcome. Until recently, we were negotiating exclusively with one party to achieve a sale of the entire segment. As you can imagine, a carve out of an entire business is complex. Those negotiations ultimately reached a point where we did not feel value could be maximized on the half of our shareholders. As a result, we are now in discussions with other interested parties with respect to either a full or partial divestiture. We will update you further when we have concluded the likely outcome of this next stage of the process.  Let's turn now to Slide 13 for a summary of our liquidity and cash flow performance. At quarter end, our total available liquidity was $663 million, including $360 million in unrestricted cash. Net debt was $736 million, resulting in a net debt to adjusted EBITDA leverage ratio of 1.7 times on a trailing 12 month basis, down from 1.8 times at the end of the second quarter.  Subsequent to quarter end to fund the Fleetwood acquisition, we used $200 million in cash and borrowed $85 million against our ABL. $15 million of which has already been repaid. Cash provided by operations, was $310 million to the end of the third quarter, compared to $83 million in the same period of 2022, a reduction in core working capital has been a key driver of our improved cash flow. Thanks to actions implemented so far this year.  We have reduced total core working capital as a percent of trailing 12 months net sales by over 400 basis points from 24% a year ago to 20% at the end of the third quarter this year. Year-to-date capital expenditures are approximately $86 million remaining on track with our full year outlook. Year-to-date free cash flow was $224 million, positioning us well to reach or exceed the upper end of our full-year outlook of between $220 million and $250 million.  During the third quarter, Masonite repurchased approximately 106,000 shares of stock for $10 million at an average price of $94.05. We also repaid $10 million of long-term debt in the quarter, in line with the principal amortization required under our term loan A  Turning to Slide 14, I'd like to review some of the factors likely to influence our results in the fourth quarter, and going into 2024. Over the summer, there were signs of green shoots emerging in the housing markets, which builder sentiment improving and a broad expectation that we could see a more stable interest rate environment.  Since that time, uncertainty has reemerged as the common theme. Two key drivers of our end-market performance, mortgage rates and existing home sales have yet to trend favorably.  The average 30 year fixed mortgage in the US is now at a 23 year high, meaning that most buyers in the market aged 50 or younger have never experienced home buying with financing cost at this level. Large new homebuilders are coping with this situation by buying down rates, but that is not helping in the existing home sale – home resale market, which is at a slowest since 2010.  Given the turn for the existing homes available for sale and mortgage rates that makes switching costs much higher for existing homeowners, there was an expectation of more renovation in place, which could partially offset a lack of renovation dollars typically invested following existing home purchases. This is yet to materialize likely as a result of higher interest rates and higher credit standards impacting home equity borrowing. We are consistently hearing from others in the building products industry including our retail customers as large and discretionary renovation projects are the areas of greatest weakness in the RRR market.  With these choppy end-market dynamics still in place today, we expect ongoing headwinds in North America for both wholesale and retail volumes in Q4 with the competitive environment that continues to require consideration of trade-offs between price and volume.  In the UK, we are expecting that sales will continue to remain weak through year end without the typical seasonal bump in Q4 as noted earlier. This weakness is likely to continue into 2024. Taking all of these factors into account and excluding any impacts from our acquisition of Fleetwood, we are still expecting to achieve our original full-year guidance with consolidated net sales likely to fall within the middle of our guidance range and adjusted EBITDA likely to be closer to the bottom end of the range.  Speaking of Fleetwood, in Q4, we will realize just over two months of results from the acquisition. The contribution from adjusted EBITDA is likely to be limited given upfront integration costs and purchase price accounting index.  Now I'd like to turn the call back over to Howard for some closing comments. 
Howard Heckes: Thanks, Russ. Clearly, our markets are going through a period of adjustment to higher mortgage rates, and homeowners are pausing to consider the best time to either move or invest in a renovation. Despite these short-term headwinds, we remain confident that other macroeconomic realities, such as the underbuilt and aging housing stock, and significantly improved levels of home equity will ultimately drive a resurgence of demand in both new construction and RRR.  We also believe strongly that secular tailwinds that favor the door business in particular, provided an additional tailwind as people are spending more time in their homes, many working remotely and looking for the value-added benefits that doors can provide including privacy, security, style, lights, comfort, and connectivity.  Against this backdrop, we are intently focused on controlling what is in our control by executing on our 2023 playbook initiatives and carefully managing price cost to preserve our margins and position ourselves for optimal performance when the market turns. This approach also applies to our intense focus on cash flow and our highly coordinated effort to unlock working capital across the company.  I'm very pleased with the significant results our team has delivered so far this year that looking forward to achieving additional benefits in 2024. Continuing to deliver strong cash flow and maintaining a healthy balance sheet are key elements that support our capital allocation strategy. The recent acquisition of Fleetwood marks the second important M&A transaction that we have completed this year.  Both of which are helping us to reshape our business by putting emphasis on our differentiated, better and best door systems and enhancing our leadership position in the market, while moving us closer to our 2027 financial goals.  Overall, we believe we are actively moving in the right direction to create value for homeowners, channel partners and investors. We are building momentum with our Doors That Do More strategy navigating through short-term market dynamics, while laying the foundation for strong performance for years to come.  We continue to be excited by the opportunities we see within the approximately $27 billion North American market for door systems and we are confident that our people, our assets and our strategy uniquely position Masonite to take advantage of these opportunities. Thank you for your continued interest and support.  Now, I'd like to open the call to your questions. Operator?  Question-And-Answer Session  Operator [Operator Instructions]  Today's first question is coming from Michael Rehaut of JP Morgan. Please go ahead. 
Unidentified Analyst: Hi guys. Thanks for taking my questions. Andrew on for Mike. 
Howard Heckes : Morning, Andrew.
Russ Tiejema: Good morning, Andrew. 
Unidentified Analyst: Good morning. I would just like to maybe drill down a bit and see maybe the drivers at the lowered EBITDA guidance and maybe your expectations by segment, what are kind of the big deltas versus maybe last quarter? 
Russ Tiejema: Yes. Andrew, it’s Russ. I’ll take that one. I guess, I set the table by saying at the beginning of the year, we put out a full year guide that we felt was realistic. And we're in a position to deliver against it despite what have been some ongoing macro headwinds that frankly, stand a little bit in contrast to how everyone was feeling just a few months ago, when there were some green shoots that were showing some early emergence in the housing market here in North America.  But that all said, I would attribute the divergence in EBITDA to closer to the bottom end as opposed to the mid or higher end of the guide, so really two factors. One is, and we did comment on this last quarter is that material cost deflation is running lighter than we originally expected. We came into the year thinking low to mid-single-digits.  It's trended towards low-single-digits. We don't see anything changing around that. And then, the outlook for our business in Europe is under pressure. And it's weaker sitting here today than it was three months ago. I would view those as the two primary factors. As usual, volume in the North American residential business is a swing factor.  If we have seen some incremental strengthening in volumes and any rows, I think is as many people brought across the industry were expecting just a few months ago that would have put us in a position to deliver more down the middle of the fairway with respect to EBITDA. But and it would have allowed us to offset those pressures that we're seeing in material in Europe. But in the absence of that, that's what informed our view that we should call more towards the lower end for the EBITDA guide, while maintaining net sales probably down in the middle of Fairway. 
Russ Tiejema: Thank you. That was really good color. I mean, I just wanted to ask also some of your peers have offered an outlook for R&R market next year maybe flat to slightly down. I was curious on your read and any color there? 
Russ Tiejema : Yeah. Well, I’ll tell you what, if you don't mind Andrew, let me clear the topic a little bit more broadly, because I think it's a lot of folks are interested in and how people are thinking about ‘24? And again, I'm going to start by saying that just a few months ago the optimism that we were seeing potentially for the second half of 2023 was viewed as a natural tailwind going into 2024.  Now in the absence of some of that macro strengthening that we hope that we might see by this point in the year, sitting here right now, we don't necessarily see a big snapback on the horizon for 2024. So we're not yet finalized with our planning assumptions for next year. But let me give a quick overview of how we're thinking about the markets. We are monitoring all the typical stats that everyone in our sector would be, right?  So US housing starts, broadly speaking on the new construction side, which is just under half of our business here in North America. The forecasts are broadly flattish next year. But we are potentially seeing a bit more of a shift back to single-family that could offer a little bit of a modest volume and mixed tail wind for the door business. On the RRR side, what you have about specifically, this is an area where we still see a fair bit of uncertainty and it's going to be dependent in large part on consumer confidence and existing home sales.  As we sit here today, we're expecting that we could see a little bit of further modest decline in the RRR market. And then, I’d just close off by saying with respect to input costs which is another area that folks are interested in understanding as we look ahead, commodities are likely to remain modestly deflationary, but we're still seeing cost increases elsewhere.  So it's not as if we're expecting a broadly deflationary market to any significance in 2024. So I share all of those details just to kind of clear the deck right now and how we're thinking about 2024 with a provider that's, we're still working through a bunch of planning assumptions. We'll come back on the Q4 call and give more specificity about how we see those end-markets trending and how that's going to form our results next year.  At the end of the day, though, in the face of what’s a choppy end-market, we're going to keep focusing on what we can control, right? That's price cost discipline to preserve margins. It’s driving product mix and commercializing new products to activate our strategy and it's focusing on working capital optimization to continue driving the really strong free cash flow generation you've seen from business this year. 
Howard Heckes: And just one thing to add, Andrew, this is Howard. What we are trying to peg when this is going to start is the interesting part but we are so confident in the long term market fundamentals of the business. Housing is underbuilt, housing stock is aging. There's incremental home equity. So, it's going to turn and we feel very confident about that. 
Unidentified Analyst : Okay. Thank you, Howard. Those were really great thoughts. Appreciate it. 
Howard Heckes: Thanks, Andrew. 
Operator: Thank you. The next question is coming from Mike Dahl of RBC Capital Markets. Please go ahead. 
Unidentified Analyst: Hi, this is Chris on for Mike. Just following up on to ’24. Good morning. Just following up on the ‘24 comments, what is your expectation on margins looking to next year? I know you guys said potentially little more little less deflation, but just on a net price cost basis, are you assuming kind of net price cost expansion in ‘24? What you're seeing today in potentially more challenged end-market backdrop? 
Russ Tiejema : Too early to call that one, Chris. As I commented just a moment ago, we're still finalizing planning assumptions for next year. And certainly, ahead of having those planning assumptions fully aligned, we're not going to be in a position to guide sitting here today in early November what margins look like next year.  But I wanted to at least give the investment community a little bit of perspective on how we're thinking about end-market demand next year. We'll come back in late February when we release our full year results, and give you a lot more perspective on the drivers of margin for our business next year. Again, I'll come back to though that the comments I made earlier about the teams’ very intent focused right now is on what you've heard us call it coiling the spring, right.  It's maintaining very disciplined approach to price cost management, executing the playbook, to flex cost out of the business while continuing to invest in some of the growth initiatives that really unlock a lot of long-term value that Howard just indicated for our category. But we'll come back with more specifics on the near-term margin outlook for ‘24 in next quarter. 
Unidentified Analyst: Understood. Appreciate that. And then, just on the North American new residential construction side of the business, is there any way you could help ballpark what you're multi-family exposure is? I mean, realizing there's a mix shift to single-family from the expected declines, but just given the magnitude, just some sense of quantification there would be helpful. 
Christopher Ball : Hey, Chris this is Chris Ball here. I'll go ahead and take that. First off if you zoom out in the business we're relatively evenly split between RRR and new construction. As you look at the new construction segment, it's more heavily weighted towards the single-family homes. We don't get clear data on which product goes into which segments.  But I'd say the door is going into the single-family homes, one of the bigger factors to consider though, as you look into the next year as you look into the very high multi-family stars that we've had in 2023, we do see that as a helpful tailwind for us as you have a single-family via higher percentage of the overall starts. That should be helpful for us as we go into next year and look at the new construction portion of our business that should be constructive for us or helpful for us. 
Unidentified Analyst: Understood. I’ll pass it on. 
Christopher Ball : Thanks Chris. 
Operator: Thank you. The next question is coming from Steven Ramsey of Thompson Research Group. Please go ahead. 
Steven Ramsey: Hi, good morning. On Fleetwood's, strong margin profile, do you consider that a normalized level the 2024 outlook for Fleetwood, is that a baseline to build off of? And then on the growth plans for that company, do you see that more in wholesale or retail? Just any color on where you intend to take that business over the next couple of years? 
Russ Tiejema : Hey Steven. This is Russ. Good morning. Maybe I'll take the first part of that, give you a little bit of perspective on the margin profile and the trajectory for the business and then Howard or Chris could comment on growth opportunities for it.  First of all, if you step back and look at Fleetwood over the last several years, the business has grown really nicely from 2019 to 2022, their top line grew to CAGR and to mid-teens. And they grew their margins, their EBITDA margins that is from mid-teens to above 20% over that period.  Now they've had a really, particularly strong year in 2023, just because they’ve built up some backlog, due to some supply constraints in 2022 that they were able to realize in 2023. So, if you were to look at their margin profile in the last 12 months period, it was actually approaching a 30% range. We don't think that that's a normalized level necessarily. There's clearly some volume leverage in there. But they've also been very effective at taking price to the market in late 2022 that's continues to read through. And that's in line with pricing some of their product lines and lying with the elite luxury market that they serve.  So that's what’s informing our view that as we look into 2024, that revenue in - call it the 150 range and a low 20% EBITDA margin is probably a realistic near-term outlook for the business. But it's a really healthy platform from which we would expect further growth from there. 
Christopher Ball : And Steven, this is Chris. I'll take the second part of question around where the growth comes from as we look forward on that business. First off, Fleetwood does participate in one of the top trends in our industry, which is a indoor, outdoor living. Howard referenced it when he covered that beautiful pictures that shows the type of solutions you can get with the Fleetwood products that with their door products and with their overall systems around the home. So it's very much on trend for what homeowners are looking for.  The second piece is, the product portfolio and offerings that has include leading edge designs with a low profile edge with the probably edge product that they just recently launched. So, very much kind of on the on the cutting edge of what architects are looking for and what builders are looking for.  And then the third piece you asked around, whether it was kind of a retail or wholesale. We would go into market through a group of exclusive distributors that really partner with them on addressing the market needs and making sure they're out there. This is going after the builders who are having homeowners designing products that fit what’s Fleetwood is bringing to the market.  So, the growth comes not just from continuing those partnerships with those dealers, but also looking regionally as we go and expand beyond the West Coast where the majority of the volume is, we think there's a lot of fast-growing housing markets that again can benefit from those indoor/outdoor living trends that have a need for these products and then also are underpenetrated right now from a Fleetwood dealer standpoint. 
Steven Ramsey: That's great. And then, thinking about the combination or just the position, maybe of shelf space gains that you may have gotten in the retail or wholesale channel this year, combined with most channels running light through this year given slower volume. Curious just kind of on those two dynamics now and where you see that benefiting you in 2024 even if it's a continued challenged year? 
Christopher Ball : Yes, Steven we had to answer that. This is Chris again. As you really look at the places where we've looked at incremental distribution opportunities and going after some of the places where these life and living needs can be solved, our focus - if you go back to our strategy and the three pillars, the product leadership and reliable supply foundations have opened up new opportunities for us.  But it also is giving the chance with the existing partners, they know what to talk about, how we solve the needs and how we can do things like the performance door system national rollout. And ultimately, then winning the sale with how we capture that demand through the end-markets and through the channel. And so, when you, when you look at both the wholesale and retail sides of our business, the joint business planning approach that we're taking with all of our customers is really the way that we're activating that.  And I've used the proof points of the vendor of the year at both Home Depot and Lowe’s as examples of how we're really going to be able to capture more of that demand, fill the demand through the market with our product leadership and win the sale and ultimately benefit both our channel partners, as well as homeowners in the end. 
Steven Ramsey: Great. Thank you. 
Christopher Ball : Thanks, Steven. 
Operator: Thank you. The next question is coming from Joe Ahlersmeyer of Deutsche Bank. Please go ahead. 
Joseph Ahlersmeyer: Hey, everybody. How are you doing? 
Howard Heckes : Hey Joe. Good morning.
Russ Tiejema: Good morning. 
Joseph Ahlersmeyer: Morning. Yeah, interesting acquisition you're doing here with Fleetwood. It seems to me to be a pretty clear move outside of your core door category and push the concentric circles outward of what even constitutes doors. Thinking about your Doors That Do More strategy, I am wondering if maybe it ought to be called more than Doors That Do More and just maybe you could talk about that blurring of the lines a little bit?  And as you go and look for new and other targets that maybe doing similar things, what are the considerations I guess around identifying assets that you'll be able to integrate successfully. I would think at least one with maybe be the management team needs to be one that you feel you can retain. I'll just kind of let you run with that. 
Howard Heckes : Yeah, thanks Joe. This is Howard. It is a great acquisition. We really like this business for a number of reasons. First I think their strategy is very aligned with our Doors That Do More or as you now pointed more than doors that do more strategy. This is about developing innovative products and services in solving life and living problems, right?  And you think about these products and you see some pictures and I encourage you to go to their website fleetwoodusa.com. This trend macro trend, indoor outdoor living, lights, security, et cetera these are premium luxury products that really supports that innovation. Two, it addresses a large patio door market that we play in today. Remember when we talked at Investor Day, we participated in the hinged patio door market. We don't play in the vinyl sliding market, which we feel is much more competitive. But this is a the high-end luxury side of that patio door market, which we see as a very interesting growth platform for us.  Three, when you think about their products and we think about good, better, best and again at Investor Day we talked about the fact that sort of pinpoint what is a best door. There's a lot of good, there's a lot of better, I'd say that their product platform, absolutely addresses this best. And it's one of the reasons why they can realize the margins that Russ just talked about, which we like.  And then fourth, and obviously, the growth potential of this business with the high percentage of their revenue being on the West Coast with accretive margins to our business and accretive EPS in year one make this we think a really smart - a really smart investment.  Now, we talk about more than doors, 70% of their revenue is doors. And we talk about folding, hinge, sliding, pivot et cetera. 30% are glass panels that are fixed. They don't move or window systems that tie back to the doors. Typically, but in fact, in almost every case, the windows are sold in conjunction with the door - the door is the highlight of this business, right? And the windows are sold secondary sort of match the doors. So we still, we're sort of calling the Doors That Do More strategy, so. 
Joseph Ahlersmeyer: Understood. That's fine by me. I'm glad you touched on the point around the high end consumer. I don't think you have to look far this earnings season to find evidence that that consumer continues to do better. And I'm just wondering if you feel like that’s a trend that is likely to sustain for many years, whenever R&R does sort of inflect back to growth, people have a lot of home equity.  And I would imagine that this sort of plays in line with that trend. And then just bigger picture, as well, as you think about skating where the puck is going with respect to M&A. I noticed some other things within this product assortment on this slide that include what seems to be hurricane protection. Just wondering how you're thinking about other attributes of products that are interesting to you. 
Howard Heckes : Yeah, so, first of all, I completely agree with you that this particular consumer typically does better in all cycles and that's important. And we certainly expect that to continue to be the case. As far as skating where the puck is going and you think about the two acquisitions that we've completed this year.  First Endura, which is the leading manufacturer of components that go around the door and really allow us to innovate door systems that again are better at keeping air and water out or better connectivity or better security. That was critical to our Doors That Do More strategy and this is a an adjacency, if you will, into this patio space, where we think it's a big market, $4 billion to $5 billion market at this they at the high end.  But you can imagine that there could be some longer term synergies in how we collaborate on sourcing an R&D and product development. So any company that fits this profile of allowing us to execute our strategy and continue to behave more like a consumer durable a decommoditized consumer durable, that's going to be important to us as we look at future M&A. 
Joseph Ahlersmeyer: Very interesting. Thanks for all the thoughts. Good luck.  Thanks, Joe. 
Russ Tiejema : Thanks Joe. 
Operator: Thank you. The next question is coming from Jay McCanless of Wedush Securities. Please go ahead. 
Jay McCanless: So, I'm just wondering why, when you have the Investor Day on September 9th and essentially had most of the quarter done, why not go ahead and release this information then about where you thought EBITDA was going to go, where you thought sales might end up, given that you had the majority of the quarter in the bag already at that point? 
Russ Tiejema: Yeah. Jay it’s Russ. I guess, I'd answer that by saying that the purpose of an Investor Day is not to focus on the near term. The focus of the Investor Day is to focus on the long-term and the strategy that our company is pursuing. And that is what we wanted to highlight on September 19th and what we did as opposed to getting to a broil in the near term outlook for the business, which is driven - let's face it more by a choppy macro environment, than where we're expecting to take the company longer term. 
Howard Heckes: The only thing other thing I would add Jay, is that, I am really proud of the team in light of the macro environment for delivering - as Russ said earlier, we set guidance almost a year ago. And we're within the guidance straight down the middle on revenue and we said, maybe towards the lower end of EBITDA. But again, right in the in the middle of guidance set almost a year. So, I don’t think there's any real surprises there. 
Jay McCanless: Okay. What about the Fleetwood acquisition was more compelling to pay probably a higher valuation and where your stock price is right now versus buying back stock or looking at maybe something that you could have acquired a little cheaper? 
Howard Heckes: I sort of hit the key points of what we liked about Fleetwood. There's a lot to like about this deal. And when you think about being able to acquire a very near adjacent asset that has very significant growth potential at accretive margins, potentially significantly accretive margins for a multiple that's very near where we historically trade. That felt like a very strategic and proper investment does. 
Russ Tiejema: Jay it’s Russ. I would just add this perspective also. As we discussed, on the Investor Day when we laid out the long-term deployment of the cash flow that we expected the business to generate, it continues to focus on three layers of capital deployment. Obviously, first and foremost is capital investment organically into the business. Second, M&A, and third, returns to shareholders. And we acknowledge at that time that there's a lot of firepower that we view over the next four years, given the highly cash generative nature of the business that we would be able to simultaneously fund all three layers of that strategy.  And that is our intent today and will continue to be our intent. While we didn't necessarily repurchase a lot of shares during the quarter, I'll just get in front of that one right now and remind everyone that just like individual share executions, company management is held to the standard of only repurchasing shares during an open window, or subject to a 10b5-1 trading plan.  And even during a window when you want to execute a 10b5-1 plan, if there is any information that council thinks is potentially material or non-public information, that does restrict your ability to be repurchasing shares. And given the degree of corporate development work underway at the business, including Fleetwood, our assessment of our contextual, et cetera that did limit us somewhat ensure repurchase execution over the quarter.  That doesn't mean that that is not a continued priority for us going forward. And look at the cash generation power of the business. We commented - I commented during my prepared remarks that we’re on track to meet or exceed the upper bound of our free cash flow guide this year, at that upper bound, that would imply cash generation in access of $11 a share this year. That's a low-teens free cash flow yield.  So, I wouldn't want people to think that we’re in any way diverging from our capital deployment plan because there is significant cash generation power in the business that we will deploy across all three layers of the strategy just as we discussed at Investor Day. 
Jay McCanless: Okay. Great. Thanks for taking my questions. 
Howard Heckes: Thanks, Jay. 
Operator: Thank you. The next question is coming from Ruben Garner of Benchmark Company. Please go ahead. 
Ruben Garner : Thank you. Good morning, everybody. 
Howard Heckes: Good morning, Ruben.
Russ Tiejema: Good morning, Ruben.
Ruben Garner : So, you mentioned, I think you used the term competitiveness continuing in the fourth quarter. Can you talk about maybe which categories within doors? Is it exterior? Is it is it the more customized doors? Is the commoditized ones? Or is it certain channels? Where are you seeing the most sort of competitive pressure from a pricing standpoint? 
Howard Heckes: Yeah, Ruben. This is Howard. Yeah, it's a cyclical market. Housing is cyclical and in down cycles, capacity is available. That's just natural. And then you have an option, all companies sort of have an option to either try to pick up volume with special pricing or to maintain margins. And some companies may need to pick up volume to keep their factories running, for example.  But obviously, as a larger market leader, we find ourselves in a bit of a more unique position. And our belief is that, more better off, our industry is better off, our shareholders are better off in the long run if we manage the business price cost and focused on maintaining margins. So that requires some short-term sacrifice and trade-offs in terms of volume.  But we continue to believe it positions us to grow. When the demand strengthens, which we know it's going to. So it's more in this commoditized area, obviously, anything that's differentiated and really fundamental to our strategy. As we think about our strategy, it's really about decommoditizing this important category, which has already taken place in a lot of other building product categories. And we think now is the time for doors. 
Ruben Garner : Okay. That's helpful. And then, as I think about the strong free cash flow this year, maybe help me with puts or takes going into next year. Are there still working capital opportunities? Anything else to think about, would you lean into capital investments even in a uncertain environment in ‘24 just given your positive outlook longer term? 
Russ Tiejema: Yeah. Ruben, it's Russ. I'll take that one. The working capital initiatives that we've launched this year will continue to have some power in 2024. This is not kind of one and done initiative. And the initiatives are balanced across all areas. We've harmonized payment terms to maximize our cost receivable realization. We've also carbonized and linked in our payment terms to maximize AP. And we're looking at where we properly deploy inventory across the network to bring them into our levels down overall.  That's all had a meaningful impact on the record operating cash flow that you saw this year. But we see some of those initiatives, which were implemented in many cases, by the way until middle of this year, is continuing to have tailwind into next year. So, whereas, as I commented on the call, we've brought our core working capital down from 24% last year at this time to about 20% now.  We see a pathway to bring it down further to the high-teens in 2024. So, again, we'll comment on that more when we discuss our guidance for 2024. And how we see free cash flow trending for next year when we give our guide at the February call. 
Ruben Garner : Great. Thanks. Congrats on the strong execution in a tough environment guys. And good luck to the remainder of the year. 
Howard Heckes: Appreciate it, Ruben. Thank you. 
Operator: Thank you. At this time, I'd like to turn the floor back over to Mr. Heckes for closing comments. 
Howard Heckes: Thank you, Donna, and thanks again for everybody for joining us today. We appreciate your interest and continued support. And this concludes our call. Operator, will you please provide the replay instructions? 
Operator: Thank you for joining Masonit’s third quarter 2023 earnings conference call. This conference call has been recorded. The replay may be accessed until November 22nd. To access the replay, please dial 877-660-6853 in the US or 201-612-7415 outside of the US, enter conference ID number 13741587.  Thank you. Ladies and gentlemen, you may enjoy the rest of your day.